Operator: Please standby your program is about to begin. [Operator Instructions] Good day everyone, and welcome to today’s Dolphin Entertainment Third Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. [Operator Instructions] Please note this call will be recorded and I will be standing by if you should need any assistance. It’s now my pleasure to turn the conference over to Mr. James Carbonara, Investor Relations. Please go ahead sir. 
James Carbonara: Thank you, operator. And once again, welcome to Dolphin’s third quarter 2022 earnings call. With me on the call are Bill O'Dowd, Chief Executive Officer; and Mirta Negrini, Chief Financial Officer. I'd like to begin the call by reading the Safe Harbor statement. This statement is made pursuant to the Safe Harbor statement for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. All statements made on this call, with the exception of historical facts, may be considered forward-looking statements within the Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. Although, the Company believes that expectations and assumptions reflected in these forward-looking statements are reasonable, it makes no assurances that such expectations will prove to have been correct. Actual results may differ materially from those expressed or implied in the forward-looking statements due to various risks and uncertainties. For a discussion of such risk factors and uncertainties, which could cause actual results to differ from those expressed or implied in the forward-looking statements, please see risk factors detailed in the Company’s annual report on Form 10-K contained in subsequent filed reports on Form 10-Q, as well as in other reports that the Company files from time to time with the Securities and Exchange Commission. Any forward-looking statements included in this earnings call are made only as of the date of this call. We do not undertake any obligation to update or supplement any forward-looking statements to reflect subsequent knowledge, events or circumstances. Now, I'd like to turn the call over to Bill O'Dowd, Chief Executive Officer of Dolphin Entertainment. Bill, please proceed.
Bill O'Dowd: Thanks, James, and hi everyone. Good afternoon. And thank you for joining us today. As you might expect, I’ll start off the call by spending some time with breaking news of today’s bringing our social life to the Dolphin family, followed by an update on various Dolphin initiatives and a full financial review and then we’ll open it up for Q&A.  So, here we go. I’ll begin by giving a brief description of Socialyte. The company was founded in 2011,  the early days of social media marketing as I believe, Socialyte is an influencer marketing powerhouse, with teams in New York, Los Angeles, Miami and Nashville representing some of the most sought-after creators, from digital-only to celebrity-level talent.  Socialyte has a client roster of more than 125 market-leading influencers, including Jana Kramer, Lauren Bushnell Lane, Catt Sadler, and Mary Fitzgerald. For this high end roster of talent Socialyte secures thousands of campaigns each year with such leading brands as Amazon, American Express, Bose, Cartier, Target and more. So, Socialyte has the talent roster and manages the talent’s careers and secures campaigns for the talent. Socialyte has a sister agency Lytehouse, which also came into the Dolphin family, which represents some of the world's most iconic brands, providing the full suite of services for influencer campaigns, from strategy and casting, through execution and delivery, with in-depth analytics and reporting. So Lytehouse comes at it from the brand side, and the company delivers hundreds of campaigns annually with current and recent clients including Airbnb, Amazon, American Express, Ann Taylor, Armani Beauty, Audi, Conde Nast, Etsy, Keurig Dr. Pepper, Michael Kors, Perrier, Prada, Ralph Lauren and W Hotels. Okay, so, now that you know a little bit about Socialyte. Let me describe why this is a highly strategic acquisition for us. I’ll give you three reasons. First, this gives us scale in influencer marketing with Be Social and Socialyte under one roof, we now have what we consider to be the leading influencer marketing agency in the entertainment industry to go along with our three market-leading PR firms in each of their verticals.  200 influencers on roster with hundreds of millions of collective social media followers. And now, we have an unmatched presence in the two U.S. capitals for influencer marketing for New York based Socialyte and Los Angeles based Be Social.  Secondly, that scale allows us to take full advantage of the very strong brand spend growth across influencer marketing. It’s not just that in today’s DNA influencer marketing represents the “other half” for our media along with PR, it’s which verticals we are uniquely positioned across the offer to benefit of the scale we just achieved.  Let me share some relevant stats. The influencer marketing industry has experienced strong double-digit CAGR over the past five years increasing from global brand spend of less than $2 billion in 2016 to over $10 billion in 2021 with estimates of more than $14 billion in 2022 according to Grand View Research less than $2 billion in 2016 over expected to be over $14 billion this year.  So the industry is on the growing as any brand marketer can tell you. Both which categories use influencer marketing the most, now you will see why this is so strategic for Dolphin. Again, citing Grand View Research here, in 2021, fashion and lifestyle was the largest segment with 29% of total spend, which is the exact specialty of Socialyte, Lytehouse and Be Social.  Great. We’ve now built scale, and leadership in the larger segment of the extremely fast-growing influencer marketing industry. But what about additional growth? While the second largest segment in 2021 with 23% of total spend was food and entertainment. The exact specialty at Dolphin’s three market-leading PR firms, which any food and entertainment marketer can tell you.  So over 50% of total brand spend in influencer marketing last year went into fashion, beauty, lifestyle food and entertainment. The exact verticals represented by our super group. That would be over $7 billion this year and at a 14. Collectively, the Dolphin Companies represent approximately 1,000 clients including global celebrities, feature films, television series, streaming services, musicians, venues, festivals, video game publishers, e-sports teams and leagues, culinary celebrities, hotels, toy companies, consumer product brands and Web 3 and NFC projects, as well as awards campaigns for nominees in over 100 Oscar, Emmy and Grammy categories in 2022 alone.  Speaking plainly, when an influencer is considering where to call home or a brand is considering how an influencer campaign can get the notice by the general consumer through the broad lens of top culture and entertainment, we believe we have a unique proposition in the marketplace. And for our PR firms, the door cannot open a restaurant or a hotel in today’s environment without an influencer marketing campaign.  Our PR firm Short Fire would find a strong influencer marketing campaign extremely beneficial in launching the single and album or a concert tour and if you don’t think social media is important to launching music these days, you are respectfully living under a rock. You get the idea.  Now the third reason, why this acquisition was so strategic for Dolphin after giving us scale and access to take advantage of the fast-growing influencer marketing industry generally and in our verticals specifically, the third reason why this acquisition was so strategic for Dolphin is because at the elite levels of Socialyte and Be Social, the influencers on rosters themselves hadn’t as large enough followings to where they are celebrities in their own rights and many have ambitions to be positioned to “crossover” into traditional media and many more have launched a wide array of consumer products and business centers. Our group is uniquely positioned to take advantage of this market opportunity.  As influencers and celebrities seek to further spread their interest and monetize their platforms and followings, the rate at which they have been launching brands and products continues to rise. The categories of beauty, lifestyle and fashion are particularly well suited to influencer product launches as demonstrated by the countless examples in recent years, perhaps the highest upside growth opportunity for Dolphin’s scale is Socialyte and Be Social and it’s the focus on pitching, facilitating and sharing and the revenues created by influencer brands and content to generate further recurring revenue and value for Dolphin and its shareholders.  Okay. So, now that you know about Socialyte and our strategic rationale for bringing them into the Dolphin family, let me state that this transaction is immediately accretive. Socialyte has strong revenues and profits. They are growing, and life would be social, we believe we can grow them even faster by cross-selling their services to clients across our PR firms.  With Socialyte and Be Social, we now expect that influencer marketing will represent 25% or more of our revenues in 2023 and for more than that I don’t want to get ahead of our 10-Q and 8-K filings to more on those topics we’ll wait so after we have released that information.  For final details, Socialyte and its 40 employee team will continue to operate under its own name out of Dolphin’s New York and LA offices, with if I say so, the very impressive CEO, Sarah Boyd and its entire staff welcomed into the Dolphin family of agencies. Furthermore, Socialyte Chairman, Evan Luzzatto will continue as an advisor to Dolphin.  All right, cool. Let’s shift gears to turn to providing updates on projects where Dolphin and its shareholders have equity in participating the upside that our best-in-class marketing companies regularly enable for our clients and by the way for which going forward, Socialyte will provide another asset to use for the benefit of these ownership stakes.  Since we last spoke in August, we held a soft opening on September 21 from Midnight Theatre, a new restaurant in Variety Theatre in New York’s Manhattan West Brookfield Properties' latest neighborhood development between 9th and 10th Avenues and West 31st and 33rd streets. The night before our soft opening we prepped the theatre with Peacock's premier of new romantic comedy Meet Cute. Midnight Theatre's red carpet was stacked with national media covering the arrival of the film's stars Pete Davidson and Kaley Cuoco. We had a sold out show last Monday with the British singer Raye and while we seek to continue to ramp up the original programming in the theatre through the holiday season and into the winter, by which time we expect to be open every day of the week. The private events business in the theatre is already off to a terrific start. In the short time since the soft opening, we have held well over a dozen private events, some of which were full buy outs meaning both the theatre and the restaurant and the clients are top-tier including our programming sponsor Mastercard, as well as Accenture, Earnst & Young, both of them happen to be neighbors inside Manhattan West Sheraton Tower and L'Oréal, Paramount, Riot Games for our cool legal legends of that with Mastercard and SHOWTIME. Now turning to NFTs, on October 3rd, just after the quarter ended, we were pleased to report that our flagship NFT collection Creature Chronicles has entered galactic immersive story telling experience from former Marvel Studios artist Anthony Francisco sold out in about 90 minutes on the afternoon of Sunday October 2. The first Creature Chronicles collection developed and marketed by Dolphin’s Web3 division We Come In Peace, minted on the Solana blockchain and features 7,777 custom-crafted avatars designed by Francisco, generating more than 13,175 SOL in primary sales at mint time equaling about $435,000. We credit the success of the project to the stunning visuals from Anthony, the commitment of our team and the dedication of our community. We are very proud of this success.  With that said though, we are very aware of the recent developments in the crypto space and we’ll continue to monitor the space as we decide on prudent paths forward with our NFT business. I would like to point out that Dolphin has no exposure in the pending FTX bankruptcy proceedings and we have no assets inside FTX wallets.  Our most recent announcement in late October was about a partnership with Nina Compton, with James Beard Award Winning chef and owner of Compère Lapin and Bywater American Bistro in New Orleans, to open together ShaSha Lounge, a membership cocktail club and lounge in the Crescent City. Dolphin will be providing marketing services for fees and receiving a meaningful ownership stake in the venture, as well. The announcement was made as part of the first annual Fresh Mint Festival, New Orleans' Web3 conference and festival, where Dolphin executives moderated a panel on how web3 and NFTs are impacting the face of the food and beverage and hospitality industries. What I really like about this initiative is its inclusion of a variety of other celebrity chefs and its clear line of sight for national expansion and success. From the get go, five major celebrity chefs have joined the ownership crew. Marc Forgione from New York, Stephanie Izard from Chicago, Michelle Bernstein from Miami, Rodney Scott from Charleston, and Tiffani Faison from Boston. Right about now James Carbonara is elevating.  Each of these chefs will visit New Orleans every year and offer custom menu items and cocktails for the general public and also provide unique experiences for those who become members. That alone immediately distinguishes this concept and if you are a foodie, you know all five of those names to go along with Nina Compton, six of the 12 chefs. But it also allows for the national expansion I mentioned upon success in New Orleans, ShaSha can be brought to each of the other celebrity chefs from towns where they would have control to concept in the menu and also take the largest share of profits supported by all of the other chefs in the network for a visit each year. And all there will be a total of 12 celebrity chefs in the initial rollout of ShaSha so you can see the scalability of the project. ShaSha Lounge is a truly brilliant concept developed by The Door in partnership with Nina Compton and her management team and its in alignment with The Doors’ professional expertise in marketing culinary destinations and a Dolphin’s family’s passion for charitable giving. Nina’s pledge that a portion of membership in lounge sales will go to support future disaster relief in New Orleans is a gracious and forward thinking win-win. And honestly to give Nina her do with the starting point for the creative development of what became ShaSha. And being a native Miamian and that would it’s like to get hit hard by hurricanes. So special shout out to Nina Compton on this earnings call.  Thank you for joining us on this ride and to walk through the financials, I’ll now turn it over to Mirta Negrini, our CFO. 
Mirta Negrini: Thank you, Bill, and good afternoon, everyone. I will now discuss results for the quarter ended Septemebr 30, 2022. Revenues for the quarter were approximately $9.9 million as compared to approximately $9.4 million for the quarter ended September 30, 2021. Overall, operating expenses for the quarter ended September 30, 2022 were approximately $11 million, compared to approximately $10.5 million in the same period of the prior year. Operating expenses are composed of direct costs, payroll and benefits, selling, general and administrative costs, SG&A, acquisition cost, depreciation and amortization, and legal and professional fees and changes in the fair value of contingent consideration. Direct costs decreased by approximately $200,000 to approximately $837,000. The decrease was primarily attributable to the decrease in Viewpoint’s revenue in comparison with the same period in the prior year Viewpoint incurred third-party cost related to the productions of marketing materials which are included in direct costs.  Payroll and benefit expenses increased by approximately $1.2 million to approximately $7 million, primarily due to additional headcount in 2022 to support the growth of our business and stock compensation issued to our employees under the 2017 plan. SG&A costs were approximately the same during the three months ended September 30, 2022 as compared to the same period in the prior year.  Acquisition cost of approximately $300,000 were primarily legal and professional fees related to the Socialyte deal. There were no acquisition cost during the same period in the prior year.  Legal and professional fees increased by approximately $300,000 to approximately $800,000. The increase is primarily due to legal and auditor fees associated with the Lincoln Park agreement and the filing of the S-1 and consulting fees for the implementation of a new enterprise resource planning system. These are all one-time costs.  Operating loss for the quarter ended September 30, 2022 of $1.1 million includes non-cash items from depreciation and amortization of $415,836, a gain in the change of fair value of contingent consideration of $5,000, as compared to an operating loss of $1.1 million for the quarter ended September 30, 2021, which included non-cash items from depreciation and amortization of $475,207, and a loss in the change of fair value of contingent consideration of $1.1 million.  Net loss of approximately $1.3 million or $0.14 per share based on 966,4681 weighted average shares outstanding for basic loss per share and $0.14 per share based on 979,3715 weighted average shares on a fully diluted loss per share basis for the three months ended September 30, 2022.  The net loss of $1.3 million includes non-cash items from depreciation and amortization of $415,836, a gain in the change of fair value contingent consideration of $5,000, a gain in the change of fair value of warrants and convertible notes of $55,642 and loss on the equity investment of unconsolidated affiliates of approximately $100,000.  Net income was $141,651 or $0.02 per share based on 740,085 weighted average shares outstanding for both basic and diluted earnings per share for the three months ended September 30, 2021. Net income for the quarter ended September 30, 2021 of 141,651 includes non-cash items from depreciation and amortization of $475,207, a loss in the change of fair value of contingent consideration of $1.1 million, a loss in the change of fair value of warrants and convertible notes of $278,923 and a net gain of $1.7 million for the extinguishment of debt.  That concludes my financial remarks. I will now ask the operator to open the phone line for Q&A. Operator, would you please pool for questions?
Operator: [Operator Instructions] First we’ll go to James Carbonara with our investor relations. 
James Carbonara: Thank you operator and hi, Bill. Allen Klee of Maxim Group emailed in four questions. The first one is, what is your plan on NFTs, given all that’s happening with FTX current prices and volumes? 
Bill O'Dowd: Sure. This is unusual. I’ll pertain to you Allen and James. I would say what’s our plan, yeah. We need to evaluate it, to be quite honest, I mean, the crypto space is obviously in quite a bit of turmoil right now. We’ve weathered and pushed the launch of Creature Chronicles to out passed what was socially the crypto winner of the spring and summer. We had a very successful launch. I don’t know where crypto is going to from here and we need to just take it day-by-day without making any hard promises one way or the other. As I mentioned, Allen, you may not heard because of your emailing these questions, but as I mentioned in my prepared remarks, we don’t have any exposure on the FTX side. And we’ll see what it all means as we go forward and live it day by day. We do believe we have an expertise and being able to market in that space and it’s proven by Creature Chronicles, proven by the hard work the team does for a variety of clients every day, but I don’t know that we can commit today to knowing what the future is going to hold. 
James Carbonara: Great. And then, his next one, which I think you may have already addressed was, please provide an update on the Night Theatre and Hidden Leaf.
Bill O'Dowd: Yeah, I mean, and this could have we have told on the prepared remarks, for this when its seen on the space is, is gorgeous, the theatre is gorgeous, the restaurant is gorgeous. Theatre is unique. Those walls that are interactive and high fidelity projection that being allowed for some really cool experiences and we knew – I was educated on the process – during the process about how popular space would be for private events and the team believed in that they knew it from beginning. The Brookfield was very complementary of its concepts for private events during the construction phase and it seems to be prudent through in these first few weeks as I mentioned some of the names, I mean, not only the big book, the theatre for private events without even being fully open, I think to a sponsor of those private events they all want to come back for more. So, it’s a really nice environment and brand new space. So it gives us the private events are light glowing for any venue and it’s by definition the only dual private event that’s going to bring you anymore revenue and profits in the programming – more of programming. So it’s an encouraging sign ahead of getting our programming right and getting it up seven days a week. 
James Carbonara: Great. And then, as third of his four questions is, any other changes in 2.0 initiatives? 
Bill O'Dowd: Well, he probably would have liked the comments about ShaSha. I mean, I know there are some of our folks probably listening this call would really like the ShaSha model and so do we. It’s not just the ShaSha itself models us talking about in the prepared remarks, but we do feel like having access to the super grid only bolstered by Socialyte right now gives us an opportunity to participate in the revenues or profits of the clients or in equity of the clients. And so, or initiatives and so, it’s – we’ve done a couple of those deals in the past, ShaSha is one that combines that concept being a client and we can market ShaSha and get paid to market ShaSha, but also have it a meaningful ownership percentage in it invest us to help and make ShaSha in New Orleans more of a success and hope demanded nationally. So, that’s a very good deal for both sides and we feel very good about that. So, those types of deals were we get – little bit of festivals both worlds are very appealing and two Charlie Dougeillo and The Door they were been from the ground for ideating what that could be. So that there is an example. Quite frankly the vision of putting a super good theatre that they could each of our senior leaders and quite frankly all the staffs can ideas that can meet the ideas that the outcomes like ShaSha and which are – we are talking about James Beard Award Winning chef right. Nina Compton is pretty darn big and a group of 12 chefs is a pretty big deal. And so, I think this just open up a lounge that’s open to the public, but also has a membership program component. So, there is a good example of I think something that we are excited about in two point since you last spoke. 
James Carbonara: Great. And then, Allen’s last question any commentary related to outlook? 
Bill O'Dowd: Yeah, sure. Let’s see, well, I mean, obviously, whatever I would have said, before Socialyte, would change with Socialyte, right, it’s been by the way, it’s a bit fun in commentary, we don’t – I was thinking about just how to convey it in brief comments, the growth of the influencer marketing industry to those who may not be as familiar with it. I went back and I remember when Dolphin was producing shows in Nickelodeon we are starting to dabble with online content. This is before Netbook’s one screening [Indiscernible] series back about 2008 we had, so we want to want that class on the air. And I remember having the first conversations with digital groups at CAA and others. And grant in the app social media budget by the loan departments and then Facebook, I think Facebook some – went public in 2006, I think it’s about right and I looked up from 2008 when we were playing the beginning slates the original series for AOL and Facebook called The MI. This is a great journey question. What was the average time an American spend on social media in 2008, two years after Facebook went public, it was eight minutes – eight minutes a day and then last year, it was 2 hours and 24 minutes a day, average. So, it’s not a surprise that brands followed eyeballs and the eyeballs of the average American as you get younger even more so, 2 hours and 24 minutes a day is what I read online yesterday, just to get that stat now it’s like a while. So, Socialyte will change things, but it’s obviously on both revenue and profit but, as I look back at Q3 am I happy with our revenue growth? I think that had Creature Chronicles gone in Q3 instead of Q4, we would have had a double-digit revenue growth story again year-over-year, we are still on pace for $40 million of revenue this year without Socialyte. And I do think that Q3 would look actually different if we didn’t have the non-cash charges and the non-recurring expenses and the acquisition costs and the professional and legal fees, I mean, our runrate for professional and legal fees should be in the 3.50 range, maybe 3 million 400, it was a little elevated last year’s Q3 we get filed the baby show which obviously we never do with registration we might do expenses was again this year for the reasons Mirta mentioned. So, if you took away those one-time expenses of the professional and legal fees that are both normal in the transaction costs, and the non-cash depreciation and we would have made probably a small profit and would have been a bigger profit $0.5 million or so which would have been happier with Creature Chronicles launch two days earlier. But it’s – I think our outlook says the same, we are happy if we are Q4 is shaping up, what our revenue is going to be and then obviously next year our profits will increase, revenues will significantly increase, both will actually and we are excited about that. So I think that’s a fair summary and as I mentioned in the prepared remarks we now have an influencer marketing combination that is equivalent to anyone of our PR firms verticals. It’s a combination of Socialyte and Be Social will represent about 25% of our company’s revenue. And that’s very meaningful and that’s on par with each of our three PR verticals, right obviously. So, it’s strong vended stool and I think that PR and our own media – excuse me as I said, PR and influencer marketing as a two lens in our media. They are going to complement each other like – back and forth of that it’s going to be tremendous - creates tremendous flywheel for us as it has would Be Social. Be Social, it’s grown very well within our family and I expect the same with Socialyte. 
James Carbonara: Thank you, Bill. That concludes the questions received from Allen Klee of Maxim Group. I’ll hand it back to the operator. Operator? 
Operator: Thank you. And at this time, this will conclude our Q&A session. I’ll turn it back to management if there are any additional or closing remarks. 
Bill O'Dowd: Man, I missed both Allen’s voice and another question. The – well, thank you. Thank you for listening and obviously a very exciting day. I don’t want to bury the lead and they saying with the artisans actually not being more thrilled to add Socialyte to the Dolphin family, the management team as I quickly alluded to in the prepared remarks are outstanding CEO, Sarah Boyd is very, very impressive and a great leader, same with Roy Peters at Los Angeles I really enjoy getting to know them. I had a lot of respect with for all the family market, very kind people and I know that they are going to be allied with Dolphin for years to come and significant shareholders in Dolphin. So, it’s an exciting time for Dolphin and I really am very, very happy with this transaction heading into holiday season, as anyone knows is the prime cheese in the influencer marketing out of the ordinary that happy profits more can come in the fourth quarter. So, I hope we all have a holiday season and if I don’t talk to everyone on the call before then. Our best you and yours and I look forward to the next time we get an opportunity to speak. Thank you everybody. 
Operator: Thank you. This concludes today’s call. We thank you for your participation. You may disconnect at any time.